Operator: Ladies and gentlemen, thank you for standing by. Welcome to Clear Channel Outdoor Holdings, Incorporated’s Third Quarter 2021 Earnings Conference Call.   I will now turn the conference over to your host, Eileen McLaughlin, Vice President, Investor Relations. Please go ahead.
Eileen McLaughlin: Good morning, and thank you for joining Clear Channel Outdoor Holdings’ 2021 third quarter earnings call. On the call today are William Eccleshare, Chief Executive Officer of Clear Channel Outdoor Holdings, Inc.; and Brian Coleman, Chief Financial Officer of Clear Channel Outdoor Holdings, Inc., who will provide an overview of the third quarter 2021 operating performance of Clear Channel Outdoor Holdings, Inc. and Clear Channel International BV. After an introduction and a review of our results, we will open up the line for questions and Scott Wells, Chief Executive Officer of Clear Channel Outdoor Americas will participate in the Q&A portion of the call. Before we begin, I would like to remind everyone that this conference call includes forward-looking statements. These statements include management’s expectations, beliefs and projections about performance and represent management’s current beliefs. There can be no assurance that management’s expectations, beliefs or projections will be achieved or that actual results will not differ from expectations. Please review the Statements of Risks contained in our earnings press release and filings with the SEC.  During today’s call, we will provide certain performance measures that do not conform to Generally Accepted Accounting Principles. We provided schedules that reconcile these non-GAAP measures with our reported results on a GAAP basis as part of our earnings press release and the earnings conference call presentation, which can be found in the Financials section of our website, investor.clearchannel.com. Please note that our earnings release and the slide presentation are also available on our website and are integral to our earnings conference call. They provide a detailed breakdown of foreign exchange, segment revenue, adjusted EBITDA and adjusted corporate expenses, including the impact of share-based compensation and restructuring charges, among other important information. For that reason, we ask that you view each slide as William and Brian comment on them. Also, please note that the information provided on this call speaks only to management’s views as of today, November 9, 2021 and may no longer be accurate at the time of a replay. With that, please turn to Page 3 in the presentation and I will now turn the call over to William Eccleshare.
William Eccleshare: Good morning, everyone, and thank you for taking the time to join today’s call. We delivered very strong results during the third quarter and we entered the fourth quarter with continuing business momentum in that we capitalized on the broad base recovery we are seeing across our markets.  Advertisers are returning to launch new campaigns and rebuild brand awareness. This rebound, together with new advertisers discovering our medium for the first time, is driving growth in many of our markets ahead of 2019 revenue levels, in both our digital and traditional assets. Our consolidated revenue in the third quarter increased 33.3% over the prior year. Excluding FX, consolidated revenue was $590 million, up 31.8% over the prior year. America’s revenue was $319 million, up 42.6%, in line with our guidance and 97% to 2019 revenue.  Europe revenue was $256 million, up 18.2%, which was slightly ahead of our guidance and 97% of 2019 revenue both excluding FX. As we have highlighted on past calls, we have a resilient business that has consistently demonstrated its ability to bounce back from macro disruptions. We are clearly seeing this occur and we are very pleased with how our business is performing in the current quarter.  And it is with that confidence in our business and liquidity position that we will repay the $130 million outstanding balance of the revolving credit facility.  Coming out of COVID, advertisers are embracing out-of-home as they recognize the enhanced capabilities we have built into our platform. The power of our assets is only matched by our team of talented and dedicated people and the deep relationships they have maintained across the industry throughout the pandemic.  Given the expansion of our digital footprint, and the related strategic investments in both data analytics and programmatic that we have made in our platform, advertisers are now utilizing an even stronger set of tools that will allow them to expand its relationship through highly creative addressable and measurable solutions.  We are meeting our customers where they are by building on the very best features of out-of-home and elevating what we can do for advertisers and their brands in a compelling manner. And so, this is an exciting for our business as we execute on our vision to expand our share of total advertising spend.  As we focus on delivering profitable growth, we also remained committed to reducing our overall indebtedness, strengthening our balance sheet and elevating our ability to benefit from the operating leverage in our model. As part of this effort, and as momentum builds in our business, we will continue to evaluate disposition opportunities in line with our strategic goals and in the best interest of our shareholders.  Now let me provide a brief update on each of our business segments, beginning with Americas. Based on the information we have for the fourth quarter, we expect Americas revenue to be in the range of $360 million and $370 million, which is above the $345 million we reported in the 2019 comparable period reflecting the strong momentum in our business as we close out the year.  In the current quarter, we are continuing to experience a notable uptick in demand with a strong volume of RFPs. National is increasing over the prior year to slightly faster rate than local. Based on our current revenue bookings, all our small and most medium size markets are pacing above Q4 2019. We still haven’t fully rebounded in a few markets in California, including San Francisco, although LA, which is our largest market is now above 2019.  In our larger markets, in addition to LA, New York, Miami and Dallas are also exceeding 2019 levels, with Houston and Boston plays behind. I would also highlight a promising rebound we are seeing in airports across the country. We believe our success is distributed to our teams doing a better job of servicing our customer needs and matching them to the best asset types.  For example, our traditional sales team is now selling our airport inventory. We should note at this point, inflation and supply chain issues are not materially impacting our business, but we are of course keeping an eye on macro trends and how they are playing out.  Our digital billboards business, which continues to lead the recovery is central to our long-term growth strategy. We deployed 17 new digital billboards in the third quarter, giving us a total of more than 1,500 digital billboards across the United States. We are and we remain at the forefront in driving innovation in the out-of-home industry.  We’ve built a dynamic platform that delivers mass road current level reach along with the sophisticated insights similar to the digital display platforms with the ability to target consumers on the move.  Our radar solutions continued scaling up and opening new opportunities including with major CPG brands. Recently, we were able to match individual consumer behaviors using our RADAR-Proof attribution tool with high purchase data from an ID resolution partner LiveRamp. In the CPG world, this advancement matches as individuals often are the decision makers in this product category. So we can now measure the outdoor impact of exposure to our out-of-home advertising.  For example, in separate campaigns for a snack brand, a sports beverage and new packaged food brand, we delivered outdoor sales insights about the consumers buying these products and how out-of-home attracts new customers to these brands. RADAR-Proof also demonstrates the ability of out-of-home exposure tin increase the lifestyle value of repeat brand purchases, a key metric for consumer packaged goods brands.  Further, through our strategic expansion into the programmatic space, we continue to see a notable uptick in brands experimenting with programmatic and we are positioned to participate in this opportunity. For instance, these innovations are evident in our recent campaign for Twitch in Mediahub Global to promote their second annual stream of bowl gaming events.  The campaign won best use of programmatic with digital out-of-home this year as part of Adweek’s Annual Media Plan of the Year Awards. Our commitment to technology in improving the buying process and enhancing our ability to demonstrate attribution are key drivers of performance in our business. And I believe Scott and his exception leadership team should be proud of their work in delivering such a strong performance as the business emerges from the pandemic.  Turning to our business in Europe, based on the information we have today, we expect fourth quarter segment revenue to be between $335 million and $350 million, which is in line with Europe’s top-line performance in the fourth quarter of 2019 of $349 million. All amounts exclude movements in FX. Similar to the U.S., in Europe, we are demonstrating the resilience of our platform and its ability to rapidly return to growth.  As we’ve noted in the past, about two-thirds of our European revenue comes from roadside assets. This has benefited our performance in the current environment given that we have limited exposures in the transit sector which has of course seen a greater impact from COVID. This is most evident in the UK, where we have continued to deliver revenue ahead of 2019.  For the last six months, UK revenue has been ahead of 2019 led by the strength of our street furniture footprint and from the benefit of both new contracts and further development and investment in digital roadside inventory.  Overall, we are continuing to benefit from pent-up demand across Europe, although orders are still coming in later than pre-COVID. Based on current trends, our pipeline across CPG and retail, our largest verticals is looking strong with fashion and beauty also looking healthy. Our digital expansion is also a central part of our growth strategy in Europe.  We added 314 digital screens in the third quarter for a total of over 16,900 screens are live, including digital screens in the UK, Italy and Ireland. And we are further elevating the value proposition of our digital footprint through the roll out of our RADAR suite of solutions, which is now gaining traction in all of our major European markets. For example, in Spain, we are now able to target campaigns based on online behavior in addition to physical store visits and we are having significant success using the tool in the auto category where brands are able to efficiently target likely car buyers.  In addition, we recently completed the launch of our programmatic offering, LaunchPAD in Italy and we are now executing on our programmatic strategy across the Europe, allowing brands to connect at the right time with consumers through multiple touch points, planned real-time digital out-of-home campaigns and control exactly when, where and at what times the ads are deployed.  We are also continuing to selectively pursue contract tenders that meet our strategic objectives in multiple markets. In Sweden, we won a seven year contract to operate the advertising related to a public buy program in the center of Stockholm, consisting of 350 static and digital panels in prime locations, further strengthening our footprint across the city.  So in summary, we are executing at a high level across every facet of our strategic plan. The recovery continues to gain momentum and we are seeing good progress in our business in the current quarter. Coming out of the pandemic, we are well positioned to maximize our performance as we leverage our digital expansion and the investments we are making in our data analytics and programmatic resources, which is broadening the universe of appetite as we can pursue and strengthening our growth profile.  And with that, let me now turn it over to Brian to discuss our third quarter 2021 financial results. 
Brian Coleman : Thank you, William. Good morning, everyone and thank you for joining our call. As William mentioned, we continued to see a strong rebound in our business as reflected in our third quarter results and outlook for the fourth quarter and we continue to manage our cost base including negotiating rent abatements in some of the markets most affected by COVID-19, as well as strengthening our capital structure.  Moving on to the results on Slide 4, in the third quarter, consolidated revenue increased 33.3% to $596 million. Excluding FX, revenue was up 31.8%. Consolidated net loss in the third quarter was $41 million, compared to a consolidated net loss of $136 million in the prior year.  Adjusted EBITDA was $136 million in the third quarter representing a substantial improvement over the prior year, which was $31 million. Excluding FX, adjusted EBITDA was $135 million in the third quarter. Please turn to Slide 5 for a review of the Americas’ third quarter results. The Americas segment revenue was $319 million in the third quarter, up 42.6% compared to the prior year and in line with the guidance we previously provided in July. Revenue was up across all of our products as notably print billboards, digital billboards, and airport displays. Digital revenue rebounded strongly and was up 68.4% to $115 million. National local continue to improve with both at 43%. Direct operating and SG&A expenses were up 15.8%. The increase is due in part to a 15.3% increase in site lease expense, driven by higher revenue combined with higher compensation cost driven by improvements in our operating performance.  This was partially offset by lower credit loss expense relating to our recovery from COVID-19. Segment-adjusted EBITDA was $139 million in the third quarter, up 96.7% compared to the prior year, with segment-adjusted EBITDA margin of 43.6%, above our guidance in Q3 2019 results due to temporary savings, including site lease savings primarily related to airports, as well as lower spending and a reduction in the credit loss expense. Please turn to Slide 6. This slide breaks out our Americas revenue into billboard and other and transit. Billboard and other which primarily includes revenue from billboards, street furniture, spectaculars, and wallscapes was up 37.6%. Transit was up 82.7%, with airport display revenue up 88.7% to $43 million in the third quarter. Airport revenue was helped by the return of airline passenger traffic and the new Port Authority of New York and New Jersey advertising and sponsorship contracts.  Please turn to Slide 7 for a bit more detail on Americas Q3 billboard and other. Digital revenue rebounded strongly in Q3 and was up 59.5% to $91 million and now accounts for 33.4% of total billboard and other revenue. Non-digital revenue was up 28.7%.  Next, please turn to Slide 8 and a review of our performance in Europe. Please note that, as I comment on the percentage change from the prior year, all percentages are excluding movements in foreign exchange. Europe revenue was $263 million in the third quarter.  Excluding movements in foreign exchange revenue was $256 million, up 18.2%, compared to the prior year, ahead of guidance we provided in our second quarter earnings call. As you may remember, in Q3 2020, restrictions were lifted and the business bounced back quickly, which created tougher comps than in the second quarter.  Revenue in the third quarter was up across most of our products, primarily street furniture and retail displays and in most countries. Digital revenue was up 39.3% to $89 million excluding FX, a strong performance driven in large part by the rebound in the UK.  Direct operating and SG&A expenses were up 6.4%, compared to the third quarter of last year. The increase was largely driven by $13 million increase in cost related to our restructuring plan to reduce headcount. As a reminder, costs related to our restructuring plan are not included in adjusted EBITDA.  Site lease expense declined 3.7% to $99 million excluding FX, driven by negotiated rent abatements. Segment adjusted EBITDA was $30 million excluding movements in foreign exchange in the third quarter as compared to negative $8 million in the prior year.  Moving on to CCIBV. Our Europe segment consists of the businesses operated by CCIBV and its consolidated subsidiaries. Accordingly, the revenue for our Europe segment is the same as the revenue for CCIBV Europe segment adjusted EBITDA, the segment profitability metric reported in our financial statements, does not include an allocation of CCIBV’s corporate expense that are deducted from CCIBV’s operating income and adjusted EBITDA.  CCI BV revenue increased $46 million during the third quarter of 2021, compared to the same period of 2020 to $263 million. After adjusting for a $6 million impact from movements in foreign exchange rates, CCI BV revenue increased $39 million. CCIBV operating loss was $26 million in the third quarter of 2021 compared to $38 million in the same period of 2020. Let’s move to Slide 9 and a quick review of other, which includes Latin America. Note this is the first quarter that the prior year results do not include our China business. Latin America revenue was $15 million. Excluding movements in foreign exchange rates, it was $!4 million in the third quarter, up $7 million compared to the same period last year.  Direct operating expense and SG&A from our Latin American business were $14 million, up $1 million compared to the third quarter in the prior year. Latin America adjusted EBITDA rounded to zero in the third quarter.  Now, moving to Slide 10 and a review of capital expenditures. Capital expenditures totaled $33 million in the third quarter, an increase of approximately $6 million compared to the prior year as we ramped up our investment in our Americas business. Now onto Slide 11, Clear Channel Outdoors’ consolidated cash and cash equivalents totaled $600 million as of September 30, 2021. Our debt was $5.7 billion, up $166 million, due in large part to the refinancing of the CCWH senior notes in February and in June. Cash paid for interest on the debt was $52 million during the third quarter and $264 million year-to-date. Our weighted average cost of debt was 5.5% as of September 30, 2021, 60 basis points lower than the prior year. Additionally, as William mentioned, given our improved outlook for both our business and liquidity position, we repaid the $130 million outstanding balance under the company’s revolving credit facility with cash on hand on October 26, resulting in a corresponding increase in excess availability under such revolving credit facility. Finishing with our guidance on Slide 12. Again, as William noted, for the fourth quarter of 2021, Americas segment revenue is expected to be in the range of between $360 million and $370 million, which is above the $3545 million reported in Q4 2019. Segment-adjusted EBITDA margin is expected to return to close to Q4 2019 levels of $42.3%.  Q4’s adjusted EBITDA margin is expected to benefit from the top-line improvement, but also from one-time items including site lease savings and temporary cost savings.  Our Europe segment revenue is expected to be in the range of between $335 million and $350 million, which is in line with Europe’s revenue in Q4 2019 of $349 million. Both the guidance and Q4 2019 consolidated revenue are based on 2020 exchange rates and exclude China.  Our consolidated Q4 revenue guidance is $715 million to $740 million, which is in line with or better than our Q4 2019 consolidated revenue of $717 million. As noted above, guidance in Q4 2019 consolidated revenue are based on 2020 exchange rates and exclude China.  Additionally, we expect cash interest payments of $123 million in the fourth quarter of 2021 and $319 million in 2022. We expect consolidated capital expenditures to be in the $150 million to $160 million range in 2021.  Lastly, we are once again increasing our guidance for liquidity as of December 31, 2021 including unrestricted cash and availability under the company’s credit facilities. We expect liquidity of approximately $525 million to $575 million, a $50 million increase from the guidance provided in July. This is reflective of our improved performance and our businesses.  The guidance also includes a near-term acquisition pipeline of approximately $20 million to $25 million that we could potentially close by year end that represents small selective tuck-in billboard acquisitions in the Americas. Please keep in mind that liquidity could vary based on timing of cash receipts and/or payments at year-end. That concludes my remarks. Now, let me turn the call back over to William.
William Eccleshare: Thank you, Brian. As I make the transition into the new role of Executive Vice Chairman at the close of the year, and Scott moves to take over as CEO, I am confident that we will continue to build on the momentum we are seeing in our business. We are leading the digital transformation of our industry, innovating our platform and strengthening our ability to serve a large universe of appetizers.  We are coming out of COVID with a stronger and more dynamic platform supported by an energized worldwide team focused on growth and execution. As we continue to invest in our technology, while carefully managing our costs, we remain focused on driving profitable growth and evaluating all avenues to delever our balance sheet including dispositions.  As this will be my last quarterly conference call, I’d like to thank all of our investors for their support over the last few years. It’s been a pleasure to have met so many of you and have engaged in conversations with you regarding our industry, our company, and the direction of the global appetizing market.  I’d also like to record my thanks to my exceptional leadership team who have maintained their focus during an extraordinary period of change, both in our business and the world in which we operate. You remain of course in very good hands with Scott and the management team as they continue to execute on our plan to fully surface the growth potential and intrinsic value of our assets.  So a very heartfelt thanks to all of you. And now let me turn over the call to the operator for the Q&A session. 
Operator:  We’ll take a question from Steven Cahall of Wells Fargo.
Steven Cahall : Thanks. And maybe first, Scott, you mentioned national is growing, I think a little bit better than local. Do you anticipate national becoming a bigger proportion of revenue over time, but still as you use RADAR, and maybe have more agency buys and if that does happens, does that give you any fit to your EBITDA margins? 
Scott Wells: Thanks, Steve. So, right now, we are right around 37% on national and historically we’ve been closer to 40%. So I think there is definitely short-term room to improve. I also think that there is room beyond that for the reasons that you mentioned and our programmatic business skews a little bit national as well. And so, that’s an opportunity to drive it.  National does tend to buy our very best assets. They tend to go for a lot of the premium locations and premium products. So, having national increase will generally help our margins, but it’s not like a big light switch, it’s a modest improvement as the mix moves in that direction. Hopefully that helps. 
Steven Cahall : Yes. And then, just picking with Americas, just wondering if you perceived any real benefit in the quarter from rent abatement activity? And as we think about, maybe some of those cost catching up next year, any commentary you could provide on how we should think about Americas’ margins or operating leverage? 
Scott Wells: Yes, I think I am going to have Brian speak to that. But, yes, we definitely have an opinion here. 
Brian Coleman: Yes, and I would answer that for the entire company, because I am not sure that story is that much different in the Americas than it is internationally and that is our operating teams continue to work with our municipal partners and our various landlords on seeking appropriate rent abatements. And we are going to see some of that in the fourth quarter.  I mean, we saw some of that in the third quarter, about $22 million of the $79 million year-to-date. We would expect that to continue for the next few quarters into Q4 and on albeit likely at a decreasing rate as the business starts to improve. And so, I think that the team is doing a good job. There is a bit of a lag. So, it may continue for a while. It is impacting our margins.  I think you can see both in the results and in the guidance our margins are back to levels that are around in 2019. But that does reflects some of the rent abatements and temporary cost savings. So, I think that that’s the right way to think about rent abatements both in the Americas and internationally. 
Steven Cahall : Great. And then, lastly, how are you thinking about CapEx for next year? Just as the business continues to improve and get back to prior levels, you are confident enough to pay down some debt in the quarter and may good CapEx came up, so signals like we are sort of getting back to normal and maybe relatedly any more color on some of these additional potential tuck-in Americas acquisitions that you highlighted? Thanks. 
Scott Wells : Yes, Steve, I think you hit it. As our business normalizes and we are – we do have visibility and that looks like it is recovering. You should expect our 2022 CapEx to also go back to kind of pre-COVID levels. I think that’s a good estimate, and that number is probably $200 million, $225 million. It would exclude China because we no longer have that operation.  I think in addition to that, you are seeing enough of these tuck-in acquisitions that we chose to kind of break it out in our commentary. That number is about $20 million, $25 million, we do expect. So that could close in the fourth quarter. It could go on a little longer. Each one of those acquisitions takes a little bit of time and it’s difficult to predict.  It was material enough that we wanted to break it out and I think the other thing is, it’s reflective of the current environment. The recovery has brought potential sellers into the market for various reasons. The valuation gap has narrowed. These are unique opportunities that we want to take advantage of. We are in a position where we can.  I think you’ve heard others talk about it. So, as long as it’s a material number, we will continue to talk about it and it would be on top of our CapEx expectations. So, really leading into these opportunities if they are available and I think it’s a positive reflection of where we see the business. 
Steven Cahall : Great. Thank you. 
Scott Wells : Thanks, Steve. 
Operator: Our next question is from Cameron McVeigh of Morgan Stanley. 
Cameron McVeigh: Hey guys. This is Cameron for Ben. We would be interested in which verticals in the U.S. have not fully recovered. And then, as a follow-on, how earlier 2022 bookings looking versus pre-COVID growth rates? Thanks. 
Scott Wells : Sure. I think both of those are U.S. so, I’ll take them. Thanks for the questions, Cameron. On the verticals, we have seen good recovery pretty broadly lagging relative to historical norms would be areas like amusements, theatrical, and restaurants.  But they are not lagging a ton – and particularly theatrical has really been bouncing back nicely and have a really strong pipeline of releases that bode well and they are using the medium very effectively. So, those would be the ones what I’d call out on kind of not fully recovered.  As far as early 2022, it’s too early for us to give a full read on 2022, but what we are seeing right now is the early buying and the early bookings is that we are running nicely ahead of pre-pandemic times. So, it looks like we are positioned for a strong 2022. 
Cameron McVeigh: Great. Thanks. 
Operator: Our next question is from Lance Vitanza of Cowen. 
Lance Vitanza : Hi. Thanks, guys for taking the questions. I have one on U.S. and one on Europe. In the U.S., the digital has 33% of the billboard revenues. Could you remind me what’s the all-time high in that number? And when do you expect to get back to that or is the all-time high, where do you think that this percentage goes in, say, three to five years? Is there a point in the future where it’s – where half of the business is digital or how are you thinking about that? 
Scott Wells : Yes. So, Lance, I don’t have at my fingertips the all-time high, but we’ll follow-up with you and get you that information. You are asking specifically about billboards. I think that, a third of the revenue was about the all-time high in the U.S. for all digital across everything. I am not a 100% sure. It’s in the ballpark of what our all-time high in billboards would have been, but I am not sure if that’s exactly the highest. So, on the first part of your question, we will follow-up.  The second part of the question, in terms of where it could go, this is – I am sure you get tired of hearing us talk about regulation and the regulatory constraints. But there are markets in the U.S. that are north of 50%. I think we’ve talked about the UK being north of 60% in terms of digital revenue. And I think the potential for the business is quite a bit higher than a third.  But the path to get to it, it’s going to require more cities embracing digital signage and us getting the ability to convert more and more universally, because, within our portfolio, I think this is again something I’ve mentioned before. We have markets that are at zero percentage and when we have markets that are in the mid 50s.  So, the range is, and then, of course, internationally, it’s even higher in the UK. So, I think it is going to be a long-term trend for us. I think we are going to see that number creep up over time. But it probably won’t be a sudden move, it will probably just be a steady move over the years to come. 
Lance Vitanza : That’s helpful. Thanks. And then, with respect to Europe, could you discuss within a little bit more detail the situation in France, in particular, and I apologize if you probably called this out in the prepared remarks. But where did you come out versus 2019 in France? And is that business profitable today? 
Scott Wells : We didn’t break out the individual performances of the European market. So, I can’t be specific on the exact numbers or I wouldn’t say the prompt that’s showing strong recovery along with most of our other major European markets. So we are certainly seeing a strong snap back in the French business and recovering very, very well. But we don’t give individual performances for the individual European markets. 
William Eccleshare: The only thing I would add, we are also going through the restructuring plan in the Europe. Some of that would be in France, as well. And you should expect to see the results from the restructuring plan starting now in 2022, but largely finished in 2023. 
Lance Vitanza : Thanks, very much. Appreciate it. Thanks. 
Operator: We’ll take our next question from David Joyce of Barclays. 
David Joyce: Thank you. First, I wanted to clarify something. It seems like the CapEx guidance for the year is a little bit below you would previously discussed. Is that because of the tuck-ins that you just mentioned, the $20 million, $25 million being a replacement use of cash? And then, secondly, is there anything you can point to your digital revenue growth is taking share from other media or share budgets? Thank you. 
Brian Coleman: David, I’ll take the first one, and then I’ll flip it to Scott for the second piece of that. You are spot on. It does look like our CapEx guidance came down a little bit. And the way to think about that is, when acquisitions are immaterial which they have been largely over the past few quarters, these are just kind of look at CapEx and you can kind of include that number in the CapEx guidance.  We don’t want to like not talk about cash needs. But I think when you get to the level we are out today, it’s more appropriate to break it out. So, in aggregate, I think we are still within or actually have increased the range for CapEx and acquisitions if you combine the two numbers. But since we broke out acquisitions, CapEx look like it – that we tracked it a little bit.  So, you are thinking about at the like right way. I think going forward, we are just going to break the two out they are different. So, that’s probably the best way to handle it. And then, Scott, over to you for the digital question. 
Scott Wells : Yes. I am happy to take a crack at it for the U.S. and then William can way in if there are other aspects of it internationally. It is always difficult to pin down in the aggregate ad budget flows. You get buried under anecdotes very quickly when you look at what goes on. But the couple of things that I’d anchor on it, it’s really specific to the programmatic space.  The vast majority of our programmatic ad revenue is coming in via non-traditional agency partners. That it’s not predominantly coming from the agency partners and the agency divisions that buy out-of-home. And so, as we grow programmatic, I do believe that that is a tangible way to think about us capturing more of the digital ad budget stays.  And it’s still small to a degree that you are not going to see percentage points moved in that, but I think it gives us a lot of headroom as we think about capturing those budgets. I mean, as I think about the conversations we are having with advertisers, the two primary things that we are having related to other media in terms of the role that we are playing is, helping people diversify away from digital, where they feel like they were overexposed pre-COVID and during COVID.  They got even more overexposed to digital display and searching and so forth. And then, the other place that I see us having dialogue about other media is around television and us playing a role that linear TV used to play that of being able to have a broad reach underway and that there are other aspects to call out for these perspectives. 
William Eccleshare: And I think the direct to families is exactly as Scott described today is, Europe is a little bit behind the U.S. in terms of the developments of programmatic platforms for out-of-home. So that is the direction of travel and that was an enabler to I think be able to take more share from digital – the digital platforms. 
David Joyce: Great. Thank you very much. 
Operator:  We’ll go next to Jim Goss of Barrington Research. 
Jim Goss : Thank you. And good luck, William. You’ve had a challenging period to manage through. So, congratulations on that. 
William Eccleshare: Thank you. 
Jim Goss : And the one question I have is, I am interested in the new advertisers that you’ve been able to secure sort of a best kept secret that’s right in front of us. I am wondering, what is driving the new awareness and the adaption and maybe just comment on that a little bit? 
Scott Wells : Sure. So, I’ll again take a first pass at it and then, William, if I miss anything, you should definitely way in. We are working on a number of fronts to bring in new advertisers. We have evolved our sales model to have people devoted to calling on large brands, as well as calling on the strategy of planning parts of agencies in a way that we historically have not been arrayed.  And so, part of what’s going on is that, we are just covering the market better and I think that continues to have upside for us, not just at the largest advertiser end, but also at the small advertiser end of the spectrum. William talked about it as meeting advertisers where we are, where they are, excuse me. And that has been a really important theme for us as we array our sales forces.  So, that’s sort of the first part of it. The second part of it is that, we are bringing to bear new capabilities that many people don’t associate with out-of-home, particularly data and analytics, but also the ability to trade programmatically and you put those two things together, you are having a very contemporary conversation with advertisers relative to what out-of-home was having five or six years ago.  And so, that is really what’s making it possible for us to bring in new advertisers in the category. We are able to do things like associate with App downloads, look at the impact of an out-of-home campaign on people downloading apps. We are able to look at prescription uptick as a result of out-of-home campaigns.  The types of things we are able to measure and that we are able to bring attribution are much richer than they were just a couple of years ago. And the advertisers are very focused on data and very focused on seeing ROI and we are making it easier for them to do that. So, those are the kind of things that are leading to us bring new advertisers of category. 
William Eccleshare: Yes. And the only thing I would add within Europe is, we have been putting quite an effort into it and we’d start on – encouraging startup – enterprising startup companies to come into the medium and explore the way in which we could run with a low cost of entering into advertising and they can build brand awareness and drive activity through the use of our medium. 
Jim Goss : Okay. And you just been mentioning data analytics and links to other media, are these likely to remain sort of informal types or are they going to be far more relationships to establishing to create those lines? 
William Eccleshare: When you say formal relationships, you mean with other media or what do you mean?
Jim Goss : Yes. Yes. With other media sellers. 
Scott Wells : Where this is happening, Jim, is it’s happening in the data management platforms of the advertisers a lot of the time. Many of the advertisers have spent extraordinary amounts to build first-party data on their customers and what we are enabling is the ability to associate out-of-home assets in analyses that they are doing with other media.  So, it is often the agency or the advertiser themselves that are doing those analytics. We are just enabling it by offering the feed of data on audiences that are exposed to out-of-home. 
Jim Goss : Okay. And one last one, if I could? Could you comment on the impact on your airport business with the U.S. borders reopening? Is there any shape or scope of any recovery that you can draw attention to? 
Scott Wells : I mean, yes, we were seeing, that just happened yesterday. William was actually on the first DA flight that was generally opened with the BAC. Everyone has quite a celebration coming to the JFK. But the – that has been something we’ve been aware of for six or eight weeks. You can see in our results that airports was having a good trajectory on their recovery already in Q3.  And I’d just say that that trajectory has continued into Q4 and we are definitely seeing advertisers get excited about the fact that international travels happening. It’s probably a little early to declare that we are back on the international part of it, given the first flight was just yesterday. The first flight sections delivered just yesterday. But I would say, it’s a very encouraging development for sure. 
Jim Goss : Great. Thanks very much. 
Operator: I’d be happy to return the call to management for concluding comments. 
William Eccleshare: Great. Thank you very much and thanks everybody for engaging with us this morning and for the maximum questions as ever. That has been the first time that Scott, Brian and I being in a room together for the 21 months. As Scott just referenced, the skies are opening and it’s been really good to be in a room together and I had a seamless Q&A being us working together on this.  And like my final remarks, again just to thank everybody for their support. You are in really excellent hands with Scott leading the business and Brian continuing as CFO. So, it’s a great leadership team that we have here.  I am pleased to be able to announce that kind of talking gesture, we will be issuing our first ESG Report in the next few weeks, which pulls together all of the really excellent work that we do around environmental and social issues all around our global business and therefore it will be available on the investor website within the next few weeks.  And I commend it to you it’s quite an impressive record of all of that we do. So, with that said, I will say, thank you very much indeed. Wish everybody all the very best and we look forward to talking to you over the coming weeks and months. Thanks. 
Operator: This does conclude today’s conference. You may now disconnect your lines and everyone have a great day.